Operator: Good morning. And welcome to the JAKKS Pacific Third Quarter 2016 Earnings Conference Call with management who will review financial results for the quarter ending September 30, 2016. JAKKS issued its earnings release earlier this morning. Presentation slides containing information covered in both today's earnings release and call are available on our website in the Investor section. On the call this morning are Stephen Berman, Chairman and Chief Executive Officer; and Joel Bennett, Executive Vice President and Chief Financial Officer. Mr. Berman will first provide an overview of the quarter and then Mr. Bennett will provide detailed comments regarding JAKKS Pacific's financial and operational results. Mr. Berman will then conclude the prepared portion of the call with highlights of the product lines and current business trends prior to opening up the call for your questions. Your line will be placed on mute for the first portion of the call. [Operator Instructions]. Before we begin, the company would like to point out that any comments made about JAKKS Pacific's future performance, events or circumstances, including the estimates of sales and earnings per share for 2016, as well as any other forward-looking statements concerning 2016 and beyond, are subject to the Safe Harbor Protection under Federal Security laws. These statements reflect the company's best judgment based on current market trends and conditions today and are subject to certain risks and uncertainties, which could cause actual results to differ materially from those projected in forward-looking statements. For details concerning these and other such risks and uncertainties you should consult JAKKS' most recent 10-K and 10-Q filings with the SEC as well as the company's other reports subsequently filed with the SEC from time to time. With that, I would like to turn the call over to Stephen Berman.
Stephen G. Berman: Good morning everyone and thank you for joining us today. This morning we are going to review our performance during the third quarter, highlight some of the products we believe will allow us to have a strong fourth quarter, and bring solid momentum into 2017. And a number of initiatives we have undertaken to further our goal of transforming JAKKS Pacific from a toy company to a kids consumer products company. Although most of our products perform as expected during the third quarter, our overall financial performance came in below our expectations with sales and EPS declining. We continue to expect much better year-over-year performance in the fourth quarter but we have reduced our full year outlook. What we saw in the quarter was a host of cross currents. On one hand overall year-to-date toy industry sales remain pretty strong, although some toy categories are decelerating and we have several top sellers such as Elena of Avalor, Tsum Tsum, Nintendo and Gift 'ems brands. Our role-play segment got a boost from the addition of LEGO theme costumes which we believe will become a staple. On the other hand in recent months we have seen retailer to retailer and multiple non-toy product categories report weak results and lowered their outlook for the year. Overall retail traffic in stores is weak and while toys sales have been good overall, experience shows that when retailers see weakness in several categories they sometimes cut purchases even in the categories that are selling well. One of the biggest drivers of our sales expectations shortfall was a decision we made in third quarter to suspend shipments to a major U.S. customer. This decision was difficult but we felt it was the right thing to do. This not only had an impact on our third quarter but also on our outlook for the year. Another factor that curtailed our sales in the quarter is the lingering effect of the BREXIT vote in the UK. The British Pound has plunged in value since the vote in late June reflecting a growing pessimism about the economic impact of the decision to leave the EU. Although our sales in the market are in dollars it still hurt our sales because it effectively makes our product considerably higher in price than they used to be. In addition to the direct currency impact in the UK we are seeing some softness among some Euro zone customers where economic concern over the impact of the BREXIT is still weighing on consumers’ minds. We have also seen a number of major Hollywood films that have either not performed to expectations at box office or even if they have they haven’t generated the expected level of retail demand for toys. We see this in both the U.S. and in our international results and this led to lower than expected sales for our movie related toys. The result is that overall sales were down approximately 10% for the quarter whereas internally we had expected sales to be flat. For the full year we are still expecting sales to grow but at a more modest pace than our prior expectations which we will detail later in the call. While the quarter showed a number of sales challenges, we remain extremely confident that we will end the year with strong sales momentum. In addition to continued strength in Tsum Tsum, Gift 'ems, Nintendo, and Disney Princess we expect solid sales from new products such as Elena of Avalor and Moana, the two newest properties from Disney. Our reentry into the world of WWE is also going well and we have already began shipping products tied to Star Wars Rogue One, the next film installment in the franchise that debuts in December. During the current holiday quarter Tsum Tsum will benefit from broader licenses with Marvel being added to the Disney characters and a broader geographic distribution and more retailers within existing geographies. Gift 'ems is one of just a handful of successful collectable lines and has exceeded the expectations of retail buyers so far. Along with one of the most successful new properties we have launched in years, Gift 'ems is our own IP so it has terrific margins. Finally even though it’s been three years since Frozen was launched and the property is down from its peak it will still be a very strong contributor to our holiday sales. There is new content coming from the Walt Disney Company in the form of video shorts and new music. And just as when Frozen was doing extremely well in 2014 it took some business away from the other Disney Princess products, more recently we’re seeing very good sales of non-Frozen Disney Princess products and we’re expecting that to continue in the fourth quarter. So this adds up to a strong sales outlook for fourth quarter. Right now we will hear more financial details of the quarter as well as a revised outlook from our CFO Joel Bennett. Following his comments I will comment on several new initiatives we have recently announced as well as some of the key drivers we can look for in 2017 and beyond. Joel.
Joel M. Bennett: Thank you Steven and good morning everyone. Net sales for the third quarter of 2016 were $302.8 million compared $337 million in 2015 with reported net income of $30.6 million or $0.82 per diluted share versus $45.9 million or $1.12 per diluted share in the year ago period. Included in the 2015 earnings was non cash income of $5.6 million or $0.09 per diluted share related to the reversal of previous earn-out accruals from our 2012 acquisition of Maui Toys. And adjusted EBITDA for the third quarter this year was $42.7 million, compared to $52.5 million in the third quarter of 2015. Now moving on to our sales performance by category, worldwide sales of products in our traditional toys and electronics category decreased to $163.5 million for the third quarter of 2016 compared with $204.3 million in 2015. Sales in this category were driven by Disney Princess Dolls and Star Wars BIG-FIGS along with private label products. But there was an overall decrease caused by a suspension of shipments to a major U.S. customer, declines in the UK and Western Europe that accompanied the recent plunge in the British Pound, and by lower than expected sales of some movie license products. Worldwide sales from our role play novelty and seasonal toys category were $139.3 million in the third quarter of 2016 up 5% compared to $132.7 million in 2015. This increase was driven by the popularity of Tsum Tsum collectible figures, Black & Decker role play products, and the initial sales of LEGO costumes partially offset by lower than expected sales of some movie license products. Included in these category numbers are international sales of approximately $72.9 million for the third quarter of 2016 down from $94.6 million in 2015. Again this was driven by declines in the UK and Western Europe that accompanied the plunge in the British Pound as well as lower than expected sales of some movie related products. Gross margin in the third quarter was 31.4% up modestly from 31% last year as a result of continuing margin expansion efforts offset in part by product mix shifts and the deleveraging effects of the sales decline. SG&A expenses in the third quarter of 2016 was $60.6 million or 20% of net sales compared to $59.7 million or 17.7% of net sales in 2015. SG&A in dollars were up slightly due to higher marketing costs offset in part by lower variable selling cost on lower sales. And the increase as a percentage of net sales is due primarily to a decrease in sales. Operating margin was 11.3% down from 13.2% last year due to the sales decline and the deleveraging of fixed costs. Adjusted EBITDA for the third quarter was $42.7 million compared to $52.5 million in the year ago quarter down due primarily to the decline in sales. Consistent with the seasonality of our business, operations used cash of $39.4 million for the third quarter of 2016 compared to using cash of $39.9 million in the same quarter of 2015. As of September 30, 2016 our working capital was $247.6 million including cash and cash equivalents and restricted cash of approximately $48.2 million. This compares to $271.6 million in the same quarter of 2015. Accounts receivable as of September 30, 2016 were $272.3 million down from the $292.9 million at the end of the third quarter of 2015 due to lower Q3 sales in 2016. This resulted in DSOs in 2016 of 83 days up from 80 days in 2015. Inventory as of September 30, 2016 was $75.1 million versus $81.4 million in the third quarter of 2015 resulting in comparable DSIs in 2016 of 43 days as we headed into our peak selling season. Capital expenditures during the quarter were $5.1 million compared to $4.7 million for the third quarter of 2015. For the full year we expect capital expenditures to be in the range of $14 million to $15 million. The effective tax rate was 3.4% for the third quarter of 2016 compared to 2.9% from the third quarter of last year and is expected to be 17.5% for the full year of 2016, which could change if there is a shift in sales and therefore taxable income between the U.S. and our international entities. The diluted earnings per share calculation in the third quarter includes about $1.8 million in after tax interest added back assuming conversion of our convertible notes, an average of 16.4 million common shares outstanding during the quarter and an additional 23.1 million shares assuming the conversion of the convertible debentures. During the third quarter we purchased approximately 173,000 shares of common stock at a total of $1.5 million or an average of $8.69 per share bringing the total to $29.3 million in stock and convertible notes repurchased under the current $30 million authorization. The capital allocation committee which is made up of independent Directors is very sensitive and attuned to the deployment of cash with the aim of achieving maximum shareholder value. This includes potential acquisitions as well as the purchase of the company's stock and debt all of which we’ve done in the past and will continue to do so opportunistically. However, it is also there that a public announcement of repurchases prior to any transaction could impair our ability to maximize value. So the Board is determined not to announce buybacks prior to executing them but we will timely disclose them in the appropriate SEC filings. Now to our revised 2016 outlook, based on the full year impact of the sales declines I mentioned before, we now expect net sales in 2016 to increase 1% to approximately $755 million with earnings of $0.56 per diluted share down from our prior outlook of sales of approximately $800 million with earnings of $0.78 per diluted share. And we expect adjusted EBITDA to increase 4% to approximately $53 million compared to our prior outlook of approximately $65 million reflected in the revised guidance as gross margin for the year of 31.8% down slightly from our prior outlook of 32%. Before turning the call back to Stephen I would like to make a few quick points about Q4 and the first half of 2017. While we will not be providing our 2017 guidance into the fourth quarter conference call in mid-February, we do want investors to understand that Easter in 2017 comes during the second quarter as opposed to the first quarter in 2016. The three week shift is expected to cause a meaningful shift in marketing expenses from Q1 to Q2. Additionally with the Chinese New Year about two weeks earlier on January 28th, inventory levels at the end of 2016 maybe higher than normal to plan around the expected 10 days factory closures for the holiday. And with that I will return the call back to Steven.
Stephen G. Berman: Thank you, Joel. Before opening the call for questions I wanted to talk about a number of initiatives we have recently announced as well as other factors that leave us feeling good about our prospects in 2017 and beyond. Last week we announced the formation of Studio JP, a content development joint venture we have formed with Rising Anime, the Animation Studio of Meisheng Cultural & Creative Corp. Meisheng is one of China's leading creators and licensee of entertainment content. In addition they are our consumer product distribution partner in China. The goal of this new JV is to produce high quality animated content that will be owned by the joint venture and for which JAKKS will have the merchandizing rights at all markets outside of China. We believe it is very important to expand our own IP and we have seen how valuable high quality animation content can be over many years and we are excited about this move. The objective of this joint venture is to create intellectual properties whose animated stories will provide revenue generating opportunities in the areas of toys, apps, media, and other consumer products. The content created will be owned by the joint venture and for which JAKKS will have the merchandizing rights in all markets outside of China but in China the products will be distributed by our joint venture with JAKKS Meisheng. We believe it is extremely important to expand our own brands and IP and we have seen how valuable it is to expand in this direction. In addition the content that Studio JP will create will also support our own IP. You will see animated shorts featuring some of our new products beginning next year. Overtime we will be able to monetize the content in a way that produces very high margin revenue. We also recently announced the acquisition of C’est Moi a brand of revolutionary skin care and cosmetic products for kids. All over the U.S., Europe, and Asia we are seeing the growing trend of kids using skincare and wearing makeup when they are performing whether it is cheerleading, acting, dancing, or gymnastics. Kids need special products that will stand up to the rigors of active performance where they are running and jumping and possibly working up a sweat. But more importantly they need products that are safe for their young skin. C’est Moi was launched five years ago by a mom whose daughter had an adverse reaction to wearing makeup formulated for adults during a dance recital. We wanted to enter this category in the right way so we are acquiring this young brand with the goal of rapidly expanding sales and profits. We are not buying the company for its current level of sales but what we believe we can grow it into. We are entering in this strong category through an acquisition rather than simply developing our way in because we have been so impressed by the product and we believe this will allow us to grow quickly in this high margin category. Those of you that have been following us for a long time know that this is not the first we have ventured into a non-toy category. We have developed or acquired our way into pet products, the Halloween business, pool products, candy, juvenile products, and other categories. For years we have seen an opportunity to make JAKKS into a company that is not just a toy company but a kids consumer products company and we will continue to look for ways to further this transformation. We have been in the process of hiring staff for this division with the best in class people from the cosmetic and skin care industry. If you look at these two moves as well as some of our new initiatives and product introductions you will see that we are working hard to increase the portion of our business that is based on our own IP. It is our expectation that these two moves the Studio JP JV and the C’est Moi acquisition will be accretive to earnings in 2017. We are entering new high growth, high margin categories which are in some cases less seasonal and less reliant on licenses. We love our licensing partners and we are very busy adding new licenses and extending our current licenses. New licenses such as from the Walt Disney Company Beauty and the Beast, from DC Super Hero Girls, and LEGO and getting back into WWE but we also think that the best long-term plan for shareholders is to also have a stronger portfolio of our own IP inclusive of licensed products. This will help to increase the predictability and repeatability of revenue. Next year we are launching a new kids fitness initiative with a line of products that encourages active play. The product will be a new fitness factor that will include physical and digital components to capture the attention of 6 to 12 year-olds and encourage them to get up and move. We just wrapped up our Fall 2017 Toy Preview Meetings a few weeks ago and we are very encouraged by the response from retailers, licensors, and industry partners to our Fall product line up for next year. Some of the products that we expect to continue to show growth into 2017 includes the collectible lines of Tsum Tsum and Gift ‘ems. Tsum Tsum features Disney characters and the line keeps expanding in every way including new Disney properties, new geographies, new retailers within existing areas, and new properties featuring the license. The Advent Calendar which is a $40 item is one of our top selling items at major retailers this holiday season and we think it will be a good staple for years to come. 2017 will be the third year we have the product line in the market but we think it will be one of the best years yet. Tsum Tsum remains a great example of JAKKS at its best, moving quickly to maximize opportunities with our valued licensing partners while bringing creativity and innovation to the product. We are extremely excited about Gift 'ems, this collectible line is our own so the margins are especially high and we have been very happy with the initial results so far in 2016. We expect this line to more than double in 2017 and it could be up a lot more than that. The line isn’t just about collectible figures. There are miniature dolls, each character with a back story and play sets. The dolls are diverse and are from all over the different parts of the world and teach girls not only geography but they learn about different cultures. There is really no limit to how we can expand this line. The world of Nintendo is back with a vengeance. Nintendo figurines plus accessories are already selling very well for us but we think next year should be a significant jump in sales because of the first time introduction of mobile games featuring so many of its beloved characters Mario, Luigi, Yoshi, Link, and so many other great Nintendo characters are well know to players of Wii and other platforms. Well starting soon the audience will broaden dramatically when iPhone users can play games anytime anywhere. As you look forward into 2017 and beyond, distribution and the momentum continues to build around our entire Nintendo line. Our Disney Princess business is solid year-to-date and there are several reasons to think our Disney girls toys will continue to grow next year. Elena of Avalor debuted on the Disney Channel in July and has been pulling in some strong ratings. And our sales of role play and dress-up products took off immediately. Next year our rights expand to include large dolls and we have even more innovative role play items for next year. There are other Disney drivers next year we are very excited about. Disney’s Beauty and the Beast, a live action film starring Emma Watson debuted in March. She has a huge following of loyal fans and we believe the film will bolster our Disney Princess business. Tangled the series will air on Disney Channel next year, Home Entertainment releases for Moana and Beauty and the Beast next year should keep demand high. And we expect another good year out of Frozen with a new animated special airing in the Holiday of 2017. Our international sales in 2017 will benefit from the continued expansion of our direct sales efforts. Our new German sales office helps sales in Germany double so far this year and we expect additional growth next year. Our sales in China were up over 400% year-to-date. In addition we will be adding a direct sales office in France in 2017. Partly as a result of this expansion of direct sales offices as well as our strong performance we will continue to secure broader geographical rights when we get a license. By the end of 2017 we’ll have direct sales offices in the UK, France, Germany, and Mexico some of the world’s best markets of toys and our partnership with Meisheng should allow us to see strong growth in Asia. When we open up a direct office we see a big increase in sales but of course we also have higher expenses. Overtime profits turn higher when we have our own offices and we are pleased that this expansion is proceeding so well. This ends the prepared portion of the call and we will now open it up for questions-and-answers. Operator?
Operator: Thank you. [Operator Instructions]. Our first question comes from Stephanie Wissink from Piper Jaffray. Please go ahead.
Stephanie Wissink: Thanks, good morning everyone. Stephen I’m wondering if you can just talk a little bit about your decision to suspend shipments to that large retailer. I understand it was a hard decision but just talk through your conversations internally as a team about isolating that risk? And then maybe Joel if you could just tie that to the inventory balance, I would assume that the inventory would have been down potentially even a little bit more without that suspension and you are seeing some nice improvement in your product margins, so maybe just help to tie together those elements around concentrating the risks, minimizing some of the disruption, and also seeing some improvement in your working capital?
Stephen G. Berman: Thanks Steph, I’ll answer the first question regarding the suspending the shipments to a large U.S. retailer. We been discussing it internally as well as we’ve been discussing it with advisors, some of which are large banks and we came to the conclusion that at this time based off of what we have seen and what we have read with regards to the retailer that it would be best served for our company to suspend shipments to this retailer to minimize any risk going forward.
Joel M. Bennett: As far as the inventory Steph, one thing, more than half of our business is done FOB China so we typically don’t have inventory produced for them. So on that side of the business we were able to reallocate the production capacity to other orders, other customers. But you are correct that we did have some inventory domestically allocated for them so inventory would have been down a little bit more and that will be sold in the ordinary course. So we are not expecting any close out based on those inventory quantities.
Stephanie Wissink: Thanks so much, really helpful. And Stephen this second question is for you, on the Nintendo partnership. I know you didn’t spend a lot of time on it your prepared remarks but it is a pretty important partnership doing some innovative things. Can you just talk a little bit about what transacts for Q4 and 2017 related to that partnership in particular?
Stephen G. Berman: We are actually extremely excited with Nintendo. Our line has increased three times to what it was for 2016 going into 2017. Today actually I think it is selling across Pacific Standard Time, Nintendo has an announcement being announced that should have some even more positive news that is coming out from it. They actually have a new game coming out December which is Mario Run which will be on the iPhone. They are launching a system, the NES system November 16th in the U.S. and the following week in the UK. They have two mobile games coming out in March and all of this is a positive to where Nintendo is really, really focusing on the marketing efforts and we have seen it happen with the Pokémon GO and what happened with the toys afterward. And we see retailers around the world, we have the master toy rights globally with Nintendo excluding Japan but -- Japan was a distributor. But we believe next year will be probably the biggest year we have with Nintendo because of all the new efforts and marketing that they are doing around their brand which have been very quiet for the past couple of years but they are really having a strong push and we have geared up, retailers have geared up with us. So we are really excited for Nintendo next year.
Stephanie Wissink: That is great Stephen, thank you. And then just final question related to C’est Moi, we are somewhat familiar with this brand just given our coverage of beauty, but talk a little bit about it with respect to the development platform and personal care that you are seeing in that end market that has been a strong growth market? And then also how you expect to use your portfolio of your own brands or licenses or even the IP that exists, I can start to expand into new distribution end markets?
Stephen G. Berman: This is great, C’est Moi for us is a category in which we are extremely excited about. The makeup skin care category is one of the fastest growing segments globally. And we believe we tapped into exactly the right brand, the right methodology for kids today. Years ago it was taboo for children to wear makeup and with the YouTube influences and the way that kids are now utilizing makeup at a younger age, we hit the right product line, the right makeup of the product line which is organic and non-toxic. And it is really performance makeup and skin care and we have shown this to a broad array of retailers both overseas and in the U.S. and there is nothing but I would say accolades and receptiveness of people wanting it now. But what we are doing is we have hired staff and we continue to hire staff in the skin care and makeup field to make sure we launch it appropriately. It is one of the fastest growing segments as I mentioned with all sorts of support, the Walgreen, all of the retailers, the Targets, everybody is entering into these categories and giving it more space. And they are giving space to kids skin care and makeup. So, it is something that we are really extremely excited about going forward. We also have shown it to some of our largest licensors and going forward there will be two initiatives, one is C’est Moi as a brand which we believe could be a separate segment of our company and the other will be a tie-in with our licensor partners where we see fit and where it is appropriate for the brand. But there I think this is just a start to something very big for our company and not just the company is excited but our retail partners and new retail partners and distribution partners are excited that we have this brand and what it looks like for the future.
Stephanie Wissink: Thank you guys, best of luck.
Stephen G. Berman: Thank you.
Operator: Thank you. Our next question comes from Drew Crum from Stifel. Please go ahead.
Drew Crum: Okay, thanks, good morning everyone. Stephen I wondered if you could address the performance of Disguise during the quarter, you mentioned the LEGO costume line doing well where I think you had a number of puts and takes in the quarter, Halloween being a Monday this year, I think in the past you have said that the business tends to perform better when Halloween is on a weekend, not the case this year, just to address the performance of Disguise in the quarter?
Stephen G. Berman: Sure, Disguise will be flat year-over-year possibly or slightly up. There has been some nice areas of business, as you mentioned LEGO was a terrific new launch where the LEGO Batman product that was shipped in Q4 which is non- Halloween related but is role play related. And there is a movie that’s coming out in February but there are some misses that didn’t perform well such as War Craft, Alice in Wonderland. So there are some expectations for some of these to do better but on the reverse side Elena of Avalor has done extremely well. So it kind of became a mixed bag but we stay flat-to-up slightly year-over-year. And having Halloween on a Monday has been good buts it’s much better to have it on a Saturday or Sunday but what it have done or what it has done, it allows people to have Halloween parties both male and female throughout the weekend. Both, I am sorry, children and adults but it really didn’t have a major impact of growth when you see it like on a Saturday or Sunday.
Drew Crum: Got it, okay and then shifting to Star Wars, I didn’t hear much comment on the performance of that business in the quarter just given the timing of the retail promotions this year versus last year, how much did that impact sales for the company during the third quarter?
Stephen G. Berman: Because marketing hasn’t really started for a Rogue One we really didn’t have much of a forecast internally for Q3. Everyone is excited for the Star Wars movie Rogue One in December and it works out with what we have in place at retail globally except Japan. We have strong commitments and now we’re just waiting for the movie but it really didn’t impact the quarter itself and the movie is not until December. And Disney with their huge marketing campaign and their PR behind it retailers and ourselves believe it they are very strongly. Again we only have a small portion of the Star Wars business in our BIG-FIGS so we are not a huge -- we’re don’t have a huge category of Star Wars product in our portfolio.
Drew Crum: Got it, okay. Last question Stephen I think you mentioned that you are seeing weak traffic, I presume that’s Bricks and Mortar retail, just to remind us what your exposure is to the online channel?
Stephen G. Berman: Online is actually growing well over double-digit this year and it’s not just online with online retailers its online with the brick and mortars. So it maybe online with the Walmart, the Costco, the Toys"R"Us, the Target, the Cole's not just the Amazon’s or the like. So we actually have increased our online sales as retailers, the brick and mortar retailers are really focusing on online sales. For instance Walmart is doing online and in store pickups and they are very focused on that. Costco is very focused on online. So we’re getting -- its growing at a extremely fast rate year-over-year. The foot traffic at retail and its everything that we hear from retailers or we hear from stories of retailers earnings or speaking with several investment banking firms, or banking firms that traffic has just been slow for call it -- it was seasonal as well as the month of October. Not in the toy segmentation. Toys are actually performing well but having less traffic just means less sales overall. So we’re hearing that there is just less traffic to date in primarily brick and mortar outlets not naming one in particular just in general.
Drew Crum: Got it, okay, thanks guys.
Stephen G. Berman: Thank You.
Operator: Thank you. Our next question comes from Gerrick Johnson from BMO Capital Markets. Please go ahead.
Gerrick Johnson: Hey, good morning. So these retailers facing challenges how much do they represent of total sales, is there any risk for any accounts receivable write downs, and then if you exclude this retailer what was your retail takeaway or POS in the quarter?
Joel M. Bennett: We can’t disseminate what each retailer does more for a competitive reasons but this retailer itself was one of the largest U.S. retailers which we suspended shipments on. And our exposure of our receivables is nominal, so did that answer -- there was another part of your question Gerrick that I don’t think I answered.
Gerrick Johnson: Yes, it was just if we just exclude the retailers what was your POS in the quarter?
Stephen G. Berman: POS throughout let’s say actually what we just previously mentioned several of the movie based properties did not perform to our expectation as well as the movies they performed to the expectations that everyone believed. Our sell through is from the Elena of Avalor across the Board. I don’t want to name if this Whimsy & Wonder which is our private label program at Target, [indiscernible] Daniel Tiger. We’ve had really, really strong sell through. Gift 'ems we had a successful launch and its expanded at few of our major retailers and it is just growing and growing so far to date. But there are so many categories it is hard to list to sell through in each of our areas.
Gerrick Johnson: No Stephen, I was more or less looking for just like a number, up 5%, flat something like that for your total portfolio?
Stephen G. Berman: No, again it’s such a vast portfolio in so many different channels that there isn’t a number that we can calculate and what we can do is give a general feel across all of the lines.
Gerrick Johnson: Okay.
Joel M. Bennett: But Gerrick to answer sell through have been strong, have been very decent and we’re excited for fourth quarter and beyond.
Gerrick Johnson: Okay and just have a couple more here. The litigation charges can you remind us what that was for?
Stephen G. Berman: We had a suit with a former licensor and this relates to not our legal cost but actual settlement that we paid in connection with that.
Gerrick Johnson: Okay and then JP Studios, is this I think you said that JP Studios in conjunction with some other things will be accretive next year but what is this cost on the frontend, are there startup cost we have to consider and when do you see income from this specific endeavor?
Stephen G. Berman: In our previous statement we talked about Studio JP and C’est Moi of being accretive in next year. There will be a little bit over a couple of million dollars in startup fees and with regards to more staffing than anything else and a kind of presentations whether it’s at a makeup, the shows as well as having the show at other type of conferences. But it will all be built into our next year’s forecast.
Gerrick Johnson: Okay, thank You.
Operator: Thank you. [Operator Instructions]. Our next question comes from Ed Woo from Ascendiant Capital. Please go ahead.
Edward Woo: Yes, thanks for taking my question. I had a question about you mentioned there is a lot of I guess attack from the BREXIT devaluation of the Pound. Do you see that as a concern that’s going to linger well into 2017?
Stephen G. Berman: It’s something that I think part of it was sort of the collateral aspect of just general sentiment. But to remind everybody, our general exposure is that not that we sell in local currency and we have a translation gain, it’s that most of our international sales are done in U.S. dollars so our goods become relatively more expensive. And I think that overtime as that settles in we think that people will get back to their normal buying patterns.
Edward Woo: Great, then you mentioned there are some pockets of weakness in certain European areas and then you also mentioned that in the U.S. that there were some categories that were not performing as well within the overall strong toy industry. How does that affect your outlook heading to this holiday, you think you are much more prepared [ph] then you were three months ago or do you think you’re about the same?
Stephen G. Berman: We mentioned earlier that there are several movie based properties, products that didn’t perform well to our expectation due to the movie itself or movies themselves that did not perform as well in the box office. So that actually had a hindrance in our future forecast of those product lines within those movie based products. Everything else we see across the board our seasonal business has done well. As I mentioned Halloween is flat to up slightly so we’re seeing really the toy history I believe has pockets of areas that are doing better than expected. Our growth area which includes Tsum Tsum, Gift 'ems, Disney Princess which includes Frozen, all are seeing very strong and great sell through. So it’s a little bit of a mixed bag but the ones that are impacting us the most are the movie based properties that did perform well.
Edward Woo: Great, well thank you and best of luck for this holiday.
Stephen G. Berman: Thank you.
Operator: Thank you, our next question comes from Jeffrey Thomison from Hilliard Lyons. Please go ahead.
Jeffrey Thomison: Thanks, good morning everybody. Had a question several questions that you’ve already answered so it only leaves me one housekeeping question for Joel and that is you gave some third quarter numbers on share count and interest add back. Given your guidance what does that imply for fourth quarter on a basic count and for the year would be a fully diluted count I guess?
Joel M. Bennett: Yes, basic is expected to be 16.5 million and fully diluted 40 million shares.
Jeffrey Thomison: 40?
Joel M. Bennett: Yes.
Jeffrey Thomison: Okay, what would the interest add back be for the year, do you have that?
Joel M. Bennett: Yes, 1.8 million net of tax, per quarter.
Jeffrey Thomison: Okay, great. I’ll follow up later.
Joel M. Bennett: Okay, good day. Thank you.
Operator: Thank you. Our next question comes from Linda Bolton Weiser from B. Riley. Please go ahead.
Linda Bolton Weiser: Hi, sorry if I missed this but can you give the operating cash flow number for either of the quarter or the nine months?
Joel M. Bennett: Yes, we can that was in the call it was about $40 million both 2016 and 2015, use of cash for both quarters year-over-year.
Linda Bolton Weiser: So use of cash of 40 million in the third quarter of 2016?
Joel M. Bennett: And 15 correct.
Linda Bolton Weiser: Okay and then just on C’est Moi, I’m just sort of interested in I mean you in your press release you kind of named the cosmetics beauty market being something like 15 billion or something in the U.S., do you envision expanding your capabilities in this area to enter the adult cosmetics market at some point and then on C’est Moi what channels do you envision at being sold then in the U.S., like do you envision at being in department stores or like Toys"R"Us or both?
Stephen G. Berman: So C’est Moi is actually a kids focused brand that we will tell you just from having people use it and we have been working on this, working on the kind of the skincare cosmetic field for almost two years looking at companies and getting to educate on this area. We’re focused more for kids performance and makeup more than adult. The adult area is a mature area, many companies have tried to get into the kids markets. I know some people collectively that are very strong in this area of business. Our format of distribution plans are in the makeup field, so it would be like Ultra Sephora, it could be in the segmentation at Target or Tesco or in Nordic where we been speaking to various customers it is in the makeup area of business. It’s not toy makeup, it’s in a new I call it distribution channel for JAKKS which is a growing channel at retail. So if you’re looking it that way, it is not going to be at a kids area of focus that is solely focused like in toy or solely focused in clothing. It is really in the makeup department. We have met with several large companies both in North America and in the U.S. and they are -- if we were able to gear up faster we’d be able to get it on shelf earlier. But there is different time tables when you’re dealing with actually the manufacturing of the product, there is different testing procedures. Our normal way we are so quick to market we would have this in the market in the first of the year but we are planning the second half of the year. We have YouTube influences lined up that will help us market to kids. So it’s a broad long-term launch and if you look at the companies that are currently out there the makeup industry not just proceed with the information we have, it is one of the fastest growing areas of business globally. So we could be more excited. We met with retailers, they want it faster than we could actually produce it. But we want to launch it and market it correctly so this is a long term process and an initiative for JAKKS.
Linda Bolton Weiser: Okay that’s helpful thanks and then on the Maui earn outs the words I guess is that a benefit in the quarter and is that included in the 42.8 million of EBITDA?
Joel M. Bennett: That was related to the third quarter in 2015. And it was not in the calculation of EBITDA.
Linda Bolton Weiser: Okay, and is that -- that will not occur in 2017 will it?
Joel M. Bennett: No, Linda it was from -- it was in the comparison, it was in Q3 2015 not in 2016. The earn out ended -- the earn out period ended in 2015.
Linda Bolton Weiser: Okay, got you. Okay, that is all from me. Thank you.
Joel M. Bennett: Thank you.
Operator: Thank you. I will now turn the call back over to Stephen Berman for closing comments.
Stephen G. Berman: Thank you everybody. We appreciate the time that everyone was on the call and we look forward to our upcoming Analyst Meeting and continuing Investor Meetings throughout the year and looking forward to 2017 and beyond. Thank you very much.
Operator: Thank you. And thank you ladies and gentlemen, this concludes today's conference. Thank you for participating, you may now disconnect.